Hui Xu: Dear investors and friends who care about CMOC Group Limited, good afternoon. I am Hui Xu, Board Secretary of CMOC Group. I would like to welcome all investors, analysts and media friends to CMOC Group Limited’s Online Performance Meeting of 1st Half of 2025. This performance meeting will be broadcast live to global investors through SSE Roadshow Center. On behalf of CMOC Group, I would like to take this opportunity to thank all of you for your long-standing trust and support. The management of the Company attending the meeting today are Mr. Jianfeng Liu, Chairman and Chief Investment Officer; Mr. Chaoyang Que, Executive Vice President and Chief Operating Officer; Mr. Xingyao Chen, Vice President and CFO; and Ms. Hongyu Gu, Independent Director, attending the meeting online. This performance meeting will be divided into two parts. For the first part, we will deliver the production, operation and financial situation of CMOC Group in the first half of 2025, and for the second part, we will have an interactive exchange with investors on site as well as online. I will now report on the financial results in the first half of 2025. CMOC Group started as a traditional state-owned county enterprise in Henan Province, China, and was established in 1969. It has gone through three corporate restructurings, four equity financings, and six major overseas asset acquisitions, with a cumulative M&A investment of more than USD10 billion, and ranks among the front-runners in the international mining industry. In June this year, the Company successfully completed the acquisition of the Ecuadorian gold mine, which is the Company's first mine with gold as the main product. In terms of overall resources and reserves, the size of resources and reserves is the central indicator of the value of a mining company. As of the end of 2024, the Company has 34.405 million metric tons of copper resources and 5.4 million metric tons of cobalt resources, with nearly 50 years of mining ahead at current production capacity levels. Molybdenum resources are 800,000 metric tons, tungsten resources are 106,000 metric tons, niobium resources are 2,048,000 metric tons, and phosphorus resources are 80.05 million metric tons. The Company's existing mines have the potential to increase the size of resources for each metal in the future through deep exploration work. From the perspective of shareholder governance structure, CFC and CATL, as the Company's two major shareholders, can provide more guidance and support to the Company in terms of strategic M&A as well as the future trend of the non-ferrous metal industry's application in the field of new energy. A good corporate governance structure can lead a company to go farther and develop more solidly. I will focus on reporting the overall performance of the Company in the first half of 2025. In the first half of 2025, the Company upgraded its organization, reduced costs and increased efficiency, and further improved its operational efficiency, achieving operating revenue of CNY94.8 billion, a slight YoY decrease. Operating income was divided into mining and trading business; the operating income of mining segment achieved YoY increase of 25.64%, while the trading business showed YoY decline. In the trading business, the Company restructured product lines with low profitability levels. Although revenues from the trading business declined, the contribution of trading profit reached its best level ever. EBITDA achieved CNY19.8 billion, YoY increase of 23.8%, thanks to higher commodity prices and improved sales volumes. Net attributable profit hit another record high for the same period, realizing CNY8.7 billion, YoY increase of 60%. Operating cash flow continued to be robust, realizing CNY12 billion, YoY increase of 11.4%. Gearing ratio decreased to 50.15%. The return on net assets showed YoY improvement of almost three percentage points to 11.7%. In the first half of 2025, the copper and cobalt segment contributed 84% of the gross profit in the mining segment, while molybdenum- tungsten and niobium-phosphorus contributed 9% and 7%, respectively. The gross profit margin of the mining segment was reached 52%, YoY improvement of nearly 6 percentage points, which was mainly attributable to the increase in product prices as well as effective cost control. In terms of the copper business in the African zone by region and by product, the Company's copper production reached 354,000 metric tons in the first half of 2025, YoY improvement of 12.7%. Both TFM and KFM production achieved half time and more than half task. The operational efficiency of TFM's Central Region has improved, and the capacity of the Eastern Region is continuing to be released. KFM has maintained a high processing capacity and the entry grade is maintained at a relatively good level. The Company achieved copper sales of 323,000 metric tons, YoY improvement of 3.5%. The Company's gross profit margin for copper products was 53.6% in the first half of the year, an improvement of 1.3 percentage points. In terms of new project advancement, TFM has completed the geological modeling of [Inaudible] and other exploration ore bodies, and is adjusting the overall planning based on the latest data. KFM's Phase II project is also under active preparation. For the cobalt business in the African zone, the Company achieved 61,000 metric tons of cobalt production in the first half of 2025, YoY increase of 13.1%, mainly due to further improvements in beneficiation recoveries. The Company's cobalt sales achieved 46,000 metric tons, YoY decline of 9.3%, mainly due to the impact of the cobalt export ban. Cobalt products achieved a gross profit margin of 61.8%, YoY improvement of 19.7 percentage points, which was mainly based on the improvement in cobalt prices. Looking at our business in China, our molybdenum and tungsten business in China has become a new profit growth point through refined process improvement, continuous strengthening of cost control and better results in the sulfur recovery program. In the first half of 2025, the Company's molybdenum production accomplished 52% of the median annual production guidance. Overcoming the negative impact of declining grades, molybdenum concentrator recovery achieved a 3.6 percentage point improvement. The Company's molybdenum sales finished at 7,239 metric tons, a slight YoY improvement. Gross margin for molybdenum products was 38.3%, YoY increase of 4.5 percentage points. Take another look at our tungsten business in China. The Company's tungsten production in the first half of 2025 was 59% of the median annual production guidance, with a 3.7 percentage point improvement in recovery achieved through optimized pharmaceutical studies and process management. The Company's tungsten sales volume achieved 4,277 metric tons, YoY improvement of 7%. Gross profit margin for tungsten products achieved 64.3%, YoY improvement of 3.2 percentage point. In terms of the niobium business in Brazil, the production volume of niobium plates exceeded the budget in terms of both recovery rate and sales volume, and the goal of completing more than half of the tasks within half the time was also fully achieved. In particular, both of our BVF2 and BV picks achieved the best recovery rates in years. In the first half of 2025, the Company's niobium production accomplished 52% of the median annual production guidance, a slight YoY improvement. Sales of niobium finished at 5,462 metric tons, YoY improvement of 5.5%. Product gross margin of 46.1% showed YoY improvement of 10.3 percentage points. In the first half of 2025, the average price of ferro-niobium was approximately USD46 per kilogram, with the Asian market being the most significant source of demand, particularly China and India. The market continued to expand, with growing demand for specialty steels containing niobium in the automotive sector. Emerging sector applications were also penetrating fast, and the relative weakness in the construction steel sector supported overall niobium consumption to remain resilient. In terms of Brazil's phosphorus business, in the first half of 2025, the Company's phosphorus production was 583,000 metric tons, unchanged from the same period last year, and already 51% of the midpoint of this year's full-year production guidance. The Company's phosphorus sales finished at 589,000 metric tons, YoY improvement of 9.3%. Gross margin for phosphorus products was 31.1%, YoY improvement of 13 percentage points. The average price of monoammonium phosphate in Brazil was USD677.6 per metric ton, YoY increase of 18%. Affected by the expected price increase, the overall market realized an early procurement, January to April this year, demand had an 11% increase, this trend has been continued in the first half of the year. Below, I will introduce the situation of gold mines in Ecuador. The Ecuador Gold Project was completed by the Company on June 23, 2025, with a consideration of CAD581 million, equivalent to approximately CNY3 billion. This is the Company's second greenfield project after KFM, and the Company has strong project management experience in greenfield project development. The project is now undergoing the necessary additional site work, completing the update and transformation of the feasibility study and fully optimizing the scheme based on the latest data, and the related work such as licensing and permitting is being carried forward in an orderly manner. All preparations for the pre-construction period have been initiated. The project aims to be in production by 2029, and details of the production scale, costs, capital expenditure and other planning will be updated for investors as the latest feasibility study is completed. In the first half of 2025, Exxon (IXM) saw a steady increase in volume, with an overall physical trade volume of 2.15 million metric tons. Under IAS, the gross margin was achieved at 2.35%, also a record high. Exxon focused on high-margin, advantaged product lines, restructured poorly profitable products, and capitalized on the trading window during the tariff period to achieve an uplift in spot margins in the first half of the year. As a trading company, strict risk control is the core task, and we can see that good results have been achieved by strengthening the control in the execution process for some risks related to liquidity risk, market risk, counterparty risk, credit risk and HSE risk. Overall Exxon's efficiency in the use of funds was further improved and liquidity was maintained at a favorable level. You can see how a trading company based in a mining company can both sell our products at a relatively good price and effectively control risk and realize sustainable profitability. Here's a look at the ESG performance, the Company has always demonstrated excellence in ESG management, and the MSCI rating has remained AA for three consecutive years, at the forefront of global non-ferrous metal mining companies. In addition, it was honored on the Fortune China 2025 China ESG Impact List. Our trading company also maintained a gold medal in the Ecovadis Sustainability Rating, ranking in the top 3% of all industries globally. It's safe to say that what's behind these ratings and awards is what we've done to be recognized by the parties involved. Here are two examples. The first is in the Democratic Republic of Congo, where the Company has been active in community development, building 30 new educational institutions and offering a scholarship program for teacher-training students. This year, we launched the 100- member International Mining Talent Training Program in the Democratic Republic of Congo. In order to deepen China-Africa economic and trade cooperation and share the development results, the Company has joined hands with Central South University to promote joint schooling through the tripartite synergy mechanism of school, government and enterprise. In the future, we plan to train 100 internationalized talents who are proficient in mining knowledge and skills, Chinese language ability and cross-cultural communication ability in five years. The aims are to promote international exchange and cooperation, improve the quality of higher education, and enhance the international perspective and competitiveness of students. We also provide agricultural support programs to 30,000 farmers. Establishment of water and electricity networks to provide clean drinking water for 400,000 people and bring electricity for domestic use to 200,000 people. Ten hospitals have been built, more than 60,000 children have been vaccinated, and the incidence of malaria among schoolchildren has been reduced by more than 50 per cent. The Company released its Carbon Neutral roadmap in 2023, committing Peak Carbon by 2030 and Carbon Neutral by 2050, and plans to invest no less than USD1.5 billion by 2050 in achieving emissions reductions through energy efficiency, electrification, renewable energy, and carbon replenishment. At present, each of our mines has formulated the 2030 Peak Carbon implementation plan, and is pushing forward the implementation of the emission reduction program according to the timetable. In China, for example, in terms of photovoltaic power generation, the cumulative power generation capacity of photovoltaic in China since the second half of 2022 has been about 26.2 million kWh, with a cumulative saving of CNY16.9 million in electricity costs and a cumulative reduction of 14,020 metric tons of carbon dioxide emissions. The 36-megawatt source-grid-load-storage project currently under construction can integrate and optimize our clean power sources, grids, loads, and energy storage to achieve coordinated interaction and improve energy utilization efficiency and system stability. In terms of electric mining card usage, electric mining cards now total 151 units, or about 87%. Electricity consumption is 72% less expensive than fuel consumption, saving CNY29.69 million per year and reducing CO2 emissions by 10,688 metric tons per year. Calculated from 2021, the cumulative cost savings to date exceeds CNY100 million. In the face of the added demand for metals brought about by the energy and technological revolutions, and in the face of the challenge of environmental protection, the Company acts as the upstream of the carbon footprint, delivering the cleanest products to the downstream, so that the final consumer can use the greenest products. As a responsible mining company, making the world a better place is the goal the Company pursues. The above is a report on the business side of the Company, and the following is a report on the financial data. In order to achieve the goal of the 2025 Year of Change, the Company focused on organizational change, sustained efficiency management, and carried out technological innovation by extensively promoting the transformation of production processes, while seizing the market opportunity of rising commodity prices. Firstly, let's look at the overall revenue. Operating revenue for the first half of the year amounted to CNY94.773 billion, showed YoY decrease. The main reason for the decline in revenue, in fact, as I mentioned earlier, was mainly a decrease in revenue from our trading business. In terms of trading business, the Company restructured product lines with low profitability levels, resulting in YoY decline of 11.44% in revenue. However, our mining segment operating income achieved YoY increase of 25.64%. Operating costs fell even more sharply than operating revenues. We have achieved better results in the control of operating costs; YoY decrease of 11%. Decreases were realized in both administrative and financial expenses, especially in financial expenses, which decreased by 44%. The significant decrease in overall finance costs was realized mainly due to the repayment of long-term borrowings and the replacement of some low-interest borrowings for low-interest products. In the first half of 2025, EBITDA increased significantly to CNY19.8 billion, a growth rate of nearly 24%, due to the growth in product sales and our overall commodity prices. Net attributable profit reached CNY8.67 billion, achieving a strong YoY growth of up to 60%. Earnings per share was CNY0.41. As a result of the further improvement in profitability, the Company's overall balance sheet profile in the first half of the year maintained a more robust structure. First, take a look at the asset side, our total asset size has remained stable and our money funds were relatively abundant. As you can see, the money fund balance has exceeded the sum of our short-term and long-term borrowings. On the debt side, short-term borrowings were CNY20.3 billion, up from the end of 2024, with this major increment coming from the increase in our trading business. In terms of long-term borrowings, it was CNY3.9 billion, a decrease of 58% compared to the end of 2024. This was mainly due to the early return of long-term borrowings after the normal commissioning of our mine operations, which greatly reduced the Company's interest burden. Normalized net assets were CNY73.8 billion and gearing ratio was 50.15%, maintaining a good level and a more robust overall corporate financial structure. In terms of cash flow, the Company's core business continued to strengthen its blood-forming ability, and its free cash flow grew rapidly, with net cash inflow from operating activities reaching CNY12 billion, YoY increase of more than 11%. The main reason was the YoY increase in net cash flow from operations due to the favorable operating conditions of the mining business. Net cash outflow from investing activities amounted to CNY2.3 billion, the decrease in outflow was mainly due to the successive commissioning of the expansion projects in the previous period and the capital expenditure ending. Net cash outflow from financing activities amounted to CNY7.9 billion, the increase in outflow was mainly due to the YoY decrease in cash inflow from the Company's acquisition of borrowings and the YoY increase in cash outflow from our external dividend distribution. Capital expenditures for the first half of the year were CNY4.1 billion, which was mainly due to the Company's completion of the acquisition of the Cangrejos Gold Mine in June for a consideration of close to CNY3 billion, which was also included in the capital expenditures for Q2. Free cash flow increased significantly to CNY7,866 million, with a growth rate of 15.4%, which is a record high in recent years. It can be seen that the Company has achieved profitable revenue and cash flow profits. At the beginning of 2025, the Company set its production targets for the whole year, and the results for the first half of the year were very satisfactory. In the second half of 2025, although there are many uncertainties and huge challenges in terms of the macroeconomy, geopolitics, and commodity market trends, the Company is confident that it will achieve the targets set at the beginning of the year with the same high quality as always.
Baihuan Xiao: I'm Baihuan Xiao, a Metal analyst at Changjiang Securities. Mr. Hui mentioned that the year of 2025 is a year of change for the Company. We noticed that a new and strong management team has joined the Company. The market is concerned about the planning for new strategic acquisitions by this team, including a gold mine acquisition that we landed in the first half of the year. Could you please give us an overview of the future overall strategy in terms of product variety, geographical coverage, and the pace and objectives of future strategic acquisitions?
Jianfeng Liu: First, you have mentioned that our first half of the organization upgrade is basically in place, but this is not an end, just a beginning. In the second half of the year, and going forward, we will gradually promote the transformation of the Company into a platform- based mining company under the new management, including the M&A you mentioned. In the first half of the year, we acquired a gold project in Ecuador. In the future, the Company will form two main mineral poles: one is that we have already formed one of the world's top ten copper mines; on the other hand, we will focus on building up our gold assets. These will be our two poles. At the same time, we will expand our existing small mineral deposits such as molybdenum and tungsten, so that in the future, the Company will have a mineral distribution consisting of two main types plus small mineral deposits. In terms of countries, we are actively searching and negotiating for projects in the major mineral distribution countries in the world, including Africa and South America, and will have some projects landed one after another. Eventually we will have a bipolar, multi-species, multi-country, multi-stage portfolio of one asset. Multi-stage refers to both of our in-production assets, as well as our greenfield development assets. Some of our assets are expanding after long-term operation. This is roughly the layout.
Participant: I'm Yiqing Zhang from the metals group at Minsheng Securities. We have surpassed Canon to become the world's largest cobalt producer. The overall cobalt policy in the DRC this year has been of great concern to everyone. I'd like to ask how the Company is going to look at the direction of this policy and the cobalt production plan for the future.
Jianfeng Liu: On the one hand, today CMOC Group is the single largest producer of cobalt in the world, and we account for almost 40% of the world's cobalt production. Not only is it the largest, compared with our peers, we are far ahead of other manufacturers. This is our fundamental strength. What we are going to talk about later, both the analysis of the policy of the DRC and the analysis of the future cobalt market in the medium- and long-term, are based on the premise and a basic logic of our position as one of the world's leading and largest cobalt producers. The second point, with regard to some of the policies of the DRC, is that the policies of sovereign States are subject to a variety of changes. What you're seeing is a change in policy on cobalt as a result of the Company producing cobalt in the DRC. But if you see the rare earths in China, and see the copper, and see these policies in many countries for key metals, there's been a lot of changes. The basic logic is that an export control or an export restriction that we're running into in the cobalt market today is a common phenomenon in the metals industry, non-ferrous metals, especially the key metals industry today, given the geopolitics. In this way, as a company, we make it part of the future strategic decisions, rather than thinking of a single linear relationship. This is the second point. Thirdly, in the medium- to long-term, we will definitely implement our plan proactively and positively to realize the release of the huge amount of cobalt value under the premise of our existing huge tungsten reserves, resources and productivity of both TFM and KFM, and in accordance with the policy changes of the local countries. We can see in Q1 and Q2, regardless of our cobalt policy, the Company's performance in cobalt has been incredibly good, and the Company's overall performance has been incredibly good. Looking further ahead, over the next few years or even longer, we have reason to believe that we have the strength to ensure that cobalt will contribute corresponding value to the Company's balance sheet and income statement.
Guyue Zhou: I'm Guyue Zhou , an analyst at Guotou Securities. If we look at the performance of tax rate in Q2 alone, it's actually slightly volatile. I would like to ask what are the specific factors that influence the tax rate? As well as saying as we go forward and look forward, what do we think about this risk and the volatility?
Xingyao Chen: exceptionally fine observation, about the income tax It's actually a normal level overall, probably in Q2 we were at a 37% tax rate, in Q1 it was 30%, pulling even at 34%. In the DRC as a whole, for the last three or four years, around 30% is a normal level. It's going to be a couple of points higher compared to Q1. The core reason for that is, number one, there's an element of growth in the profits. The second one, some more dividend push was completed in Q2. Like the dividends from our local company in Congo, there was withholding income tax, which was added to our profits. In Q3, we basically completed some of the tax audits from last year, with some minor adjustments. So logically, the tax rate is within a reasonable range, and then add to that the increase in profits, the expected income tax on dividends, and some tax trial adjustments. In general, it's probably those reasons.
Participant: What is the scope for cost optimization in the future for the two major copper mines in the DRC, TFM and KFM? For example, when benchmarking against the local Kamoa-Kakula project, what level do you expect to achieve in the future?
Chaoyang Que: The T-mining and K-mining, simply compare last year and this year, we can see that there has been quite a drop. When we talk about cost, it's only two words, but it actually breaks down into a lot of things. What we're concerned about is the decline in the various elements after the cost is split up. That decline, we're going to be targeting between 3% and 15% this year, I think, and it's not the same decline between the different subcomponents. There is still a lot of room for the cost of these two mines to come down, but of course, it's two different concepts than the decline in metric tons of copper that we analysts often use these days. I'm talking mostly about the decline in metric tons of ore because metric tons of copper it involves grade and the recovery of different ore types, so it's going to be more complicated. Compared to Kamoa, this is not a good comparison because it's an underground mine, and these two mines are open pit mines. Between the two mines, first, we're talking about the K-mine, which is basically very much in front of its peers in the DRC in terms of cost, one of the best. T-mine, in terms of its overall resource endowment development status, is at an intermediate level, roughly speaking. Of course, there is still significant room for improvement.
Jianfeng Liu: I'm Jingshan Feng, raw materials analyst at Citi Bank. In Q2, copper production exceeded expectations by more than 180,000 metric tons. If you look at it in the short-term, what is our outlook for the second half of the year in terms of copper production? Also, if we look at it in the long-term, has there been any update on the expansion plan timeline for TFM and KFM as well as the timeline for the feasibility study?
Chaoyang Que: There was some lift in Q2 this year over Q1. If all other things remain equal, one will see Q3 and Q4 going in a positive direction. This is what the Company is now implementing, including the organizational upgrading of the management that some investors just asked about, as well as the system optimization in the field, including small changes in the field, to enhance its capacity; so overall it will be going in a positive direction. But there are some constraints on how it will turn out, and this we have to see as well. The DRC is now suffering from a lack of electricity, for one thing, and its transportation is not too good, among other things. Therefore, from the perspective of controllability, I believe that this year's production volume will be above average, which is the level mentioned by Mr. Hui Xu earlier. Our future planning is being done now. Now CMOC Group is standing on the shoulders of giants before moving forward. This PPT was shown earlier. There are a few, four or five, copper companies in the world that are now over a million metric tons. CMOC Group is likely to be heading towards this goal, we want to reach 800,000 metric tons to one million metric tons in 2028. Of course, we hope that day comes sooner and that the number moves upwards.
Yiting Liu: I'm analyst Yiting Liu from Tianfeng Securities. We see that the revenue growth in the copper segment in Q2 was very pleasing, but we seem to have some upward movement on the cost side. I'd like to ask Mr. Chen, what is the reason for this relatively higher-than- expected revenue? Is there some other by-products or other products that are contributing to this increase in gross profit? Yes, gross margins are growing more than expected.
Xingyao Chen: Copper is relatively normal from the revenue side because this revenue that we have announced is from the mining segment. Our consolidated external revenue is the Company's external revenue, so there is a slight difference here. This difference makes it appear that the mine's revenue is higher than our total external sales revenue, because there is some inventory on the trading side. Secondly, in terms of cost, it declined overall. Mr. Que said the C3 cost of T-mine, the controllable C3 cost that we are more concerned about and the C3 cost of the K-mine are both slightly declining, especially K-mine declining a little bit more. The base of the T-mine because the cost is midstream, and the cost of the K-mine is at the upstream level. I guess you understand that this change in gross profit may be related to some income from trade and somewhat related to inventory.
Jianfeng Liu: I'm Yiran Li, a financial analyst at Industrial Securities. The first one is to follow up on the previous question to ask Mr. Que. We've seen that since you've joined the Company, the cost of mining has been gradually de-optimized for two consecutive quarters. Considering the commissioning of the entire hydropower station in the later stage, is there any further room for reduction in the electricity costs for the entire mine? Currently, with the use of diesel engines and hydropower in the later stage, how much room for optimization is there in terms of electricity costs? The second question, we saw that the Company has a target of 800,000 metric tons to one million metric tons of copper throughout 2028 and 2029. We have also seen that this year, both EBITDA and free cash flow have been growing steadily. I would like to know more about our capital expenditures over the next two to three years and the overall scale of this area.
Chaoyang Que: I have just mentioned that the lack of electricity in the DRC, there has been a lack of electricity up to the medium-term, and this is something that we have all seen. Now all the parties are working to resolve this matter. First, the most obvious option is to build a hydroelectric power station. Currently, CMOC Group has confirmed that it is constructing a 200-megawatt power station. We expect that the first unit will be able to generate electricity around 2028. At the same time, we want to look for other sources, which are photovoltaic and coal power, which we are investigating now. On the one hand, we have to consider cost, and on the other hand, we have to consider speed, which is actually money. If we combine these three elements and resolve the energy issue, our vision for the future—reaching a certain level by 2028—will be a source of vitality. Also, we are looking for larger hydroelectric plants elsewhere, and this is being done, and the possibilities for this are also remarkably high. If we say that we have solved all these power stations and eventually reach 800,000 metric tons to one million metric tons by 2028, this will not be a problem. In addition, regarding the capital expenditure for production expansion, all the work is being carried out in full swing, except for the small reforms and small capacity enhancement mentioned just now, which will not cost much money. We expect that by the end of this year, all these minor changes will be over. We'll have a bigger layout down the road, more formal, larger scale, both in the K- and T-mine, which are being planned now. As we all know, in terms of T-Mine, it's a world-class resource. There are three copper deposits in the DRC that are over 10 million now, this one at CMOC Group, Kamoa at Zijin Mining, and KCC at Canon. You can think about it, Kamoa is over 40 million metric tons, but all of Kamoa is mined from the ground. Our mine is considered by the industry to be half underground mining and half open- pit mining, but through some of our technological innovations, we believe that the amount of open-pit mining will increase, which will bring about dramatic changes. That Canon mine is much smaller, so a simple analogy will show you that we are a world-class resource. When we have the next plan, the specific number of this capital expenditure will be released at the right time.
Participant: I'm [Yule Ding] from UBS. I have a question about minor metals that I'd like to follow up on. Because the management just mentioned the strategic direction, we build two poles plus minor metals like tungsten and molybdenum. When we mentioned creating two poles, for copper, we have a better medium-term target of 800,000 metric tons to one million metric tons in 2028. If we consider minor metals from a mid-term perspective, could you help us analyze how we should approach this issue? This includes the proportion of minor metals in our overall molybdenum portfolio, as well as the configuration of the two poles and other factors. How should I think about this? Second, the recent price fluctuations in minor metals have been optimistic. I would like to see if management has any better prospects to share with us.
Jianfeng Liu: We just mentioned minor metals. On the one hand, the Company has developed a strong and effective portfolio of minor metals in the past, in our existing asset portfolio. The Company's financials, including our operating results are benefiting from minor metal. From this point of view, the management of the Company will make further layout and expansion regarding minor metals, which is a basic strategy for us. The second aspect is that when it comes to targets, it is difficult to give a clear target because the distribution of minor metals is extremely rare and the deposits that appear or the opportunities that arise for such acquisitions as well as the development opportunities are non-linearly distributed and need to appear according to different circumstances. Thirdly, as has already been mentioned, minor metals are becoming more complex in the context of national export controls, including mineral controls. So, we're left with the strategic tracking of minor metals. We've actually got a lot of similar minor metals, but it's hard to give a clear strategic goal like copper or gold. This is not only a basic situation for CMOC Group, but when you look at the big mining companies around the world, it's also hard to give a clear target if they have some minor metals. But strategically, combined, we think that minor metals can contribute 20% to 30% gross margin or an operating profit for the Company over the long-term. This is one of our fundamental objectives, which is to balance the basic business structure of our two metals. This is our goal. In terms of the minor metals outlook, we look at cobalt. In the case of cobalt, you'll see that it's basically a minor metal that's being defined by new energy sources or new industrialized applications. Minor metals have always existed and have been around for a long time. Why has it become a hot market in the past few years and a hot topic for many state administrations? Because in terms of the latest applications, there are aerospace, new energy, industrial applications, including chip-level applications, and cell phone applications. We will closely follow these aspects.
Participant: I'm [Shuai Ding from Zhejiang NaXuan]. I'd like to ask a question about taxation. First, the Democratic Republic of the Congo has an excess profit tax. What prices must copper and cobalt reach before this excess profit tax is levied? Second, I understand that there are preferential policies for high-tech enterprises in China, with the preferential period extending to 2025. Are there any updates on the extension of this period or related matters that you can share with us?
Xingyao Chen: That excess tax is being compared to the feasibility study report. Your feasibility study report assumes that this copper assumption is 9,000, and if it exceeds a certain percentage of the feasibility study report, say 20% more, I think, I'm under the impression that if the price of copper exceeds 20% more, it imposes this excess tax. This is compared to the feasibility study report, so it's a dynamic. Let's say we can study whether we think it's 6,000 or 9,000. It's relevant. Regarding high-tech enterprises, they are certified annually by the Ministry of Science and Technology in accordance with China's high-tech certification system and relevant tax system, generally every three years. This is because there is a requirement that your R&D expenses account for a certain percentage of your revenue, and that a certain percentage of your revenue is related to high-tech design. Overall, our company is actively promoting this on an ongoing basis, as it is part of our ongoing business.
Participant: I'm [Hancheng Wang], a metals analyst at Guosheng Securities. I have a couple of financial questions. The first one, we observed that from a single quarter, after dividing the sales volume by the revenue of the copper segment, we find that the price of it may deviate from the market price to a certain extent. In Q2, it is back again. I would like to ask what is the reason for this? The second question, when we look at the gross profit by segment, in Q2 alone, the internal offsetting piece, the gross profit was up by about CNY3 billion, and I'd like to ask how this is interpreted?
Xingyao Chen: The first question is the same as the lady's question just now. The revenues we posted are from the mining segment, these sales are for the Company as a whole, and there is a difference between these. As I mentioned earlier, there are probably tens of thousands of metric tons of inventory on the trade side, because the mining industry sells it, and it counts the income. And market investors are more concerned about the revenue from our mining side, so we make a separate disclosure of the revenue from the mining side. It's a matter of caliber, to make a clarification. Secondly, you're looking at it very closely. Take copper as an example, because from January to June, prices were rising consistently. During that rise, we actually had large inventories on the trade side. But after Q2, when prices were higher, especially in May and June, we had a lot of goods out on the sales side again, so the unrealized gross profit you found is substantially lower because it has been realized at the end of the line in terms of the final profit, which at the heart of it is really the change in inventory. In May, our copper inventory was at its highest, and it's already down over 20,000 metric tons in June. So, you can see that your question is actually due to this reason.
Wang: Our copper sales price is riveting to the market price ...
Xingyao Chen: We mainly track the price of LME copper. It is actually a relatively transparent market. The final sales price at the trade end is similar to the price of LME copper, with only slight fluctuations.
Participant: I'm [Yi-Jae Wu] from Huafu. I have a question, mainly about the whole segment. We see in fact this year copper and gold are performing very well. I talked to some overseas enterprises, such as Barrick, Norilsk, and VALE. Their original core business is other metals, such as nickel and iron ore, but their future planning, 10 to 15 years of planning involves copper. We find that all the miners feel that copper is a hot commodity and are very bullish at future prices. I would like to ask, among so many mining companies, what are our advantages? What do we do better than our competitors?
Jianfeng Liu: Indeed, you made an incredibly good statement that almost all mining companies today are into or want to be into copper. What are our strengths? First, we did strategically anticipate much earlier, when we took TFM and KFM, copper wasn't yet king, it wasn't yet a sought-after variety, at least not by all. Just now, Mr. Que said that we have two world-class mines, TFM and KFM, and the two mines will support the production of 650,000 metric tons this year, which is close to 700,000 metric tons, and has entered the top ten in the world. This is a major material foundation for us. This is the reason we are still able to hold our absolute position today in copper, a highly competitive product that is subject to a lot of frequent policy changes. What about the future? We are also making strategic plans, and the difficulty of competing for M&A or acquisitions of new projects is indeed increasing significantly. This has two aspects. On the one hand, with the operational capabilities of the new management team that has been formed, it is possible to anticipate a lot of geological areas in advance and to see opportunities. We will enter into some early-stage projects and large greenfield projects, thereby avoiding direct M&A and staggering the time cycle. We will leverage our technological and capital advantages to enter early, secure certain businesses, and lock in major development opportunities. This will take longer, but it will give us a foundation for growth in the long term. Because now TFM and KFM can support 800,000 metric tons to one million metric tons of a capacity, we can maintain it in the future. This is the layout of our copper field. Of course, we don't give up, there are still a lot of opportunities in the market and M&A opportunities that complement that, and that's one of the main layouts that we have in the copper sector. An additional point, in addition to our production, as our CFO has just mentioned, our IXM has actually acquired a portion of copper resources on a prepaid basis. This includes acquiring a small minority stake, which has secured a portion of copper resources. This portion does not participate in the actual operation of the mine, but it has expanded and realized CMOC Group's overall position and value in the copper market.
Xianghan Su: I'm Xianghan Su from Founder Securities. I would like to ask about the challenges that the DRC's capacity has brought to the Company. We have seen that recently there may be some companies that have started to lay out their capacity, and the Company's overall scale of expansion has been relatively large. As Mr. Que mentioned earlier, there are challenges in terms of capacity in the DRC right now. I'd like to ask the Company if there are any layouts or plans or improvements regarding this area of capacity? The second question, I would like to ask about a future outlook and plan for capital expenditure and dividends?
Chaoyang Que: The DRC, operating there, obviously you're going to see the two things of capacity and power, and of course there's a lot of other things, such as government regulation. This is an issue that not only one of our companies is now working on, but in fact all the Chinese companies are doing this. Now Chinese companies account for about 70% or more of the production in the DRC, which is the largest, compared to other countries. With such a large number of Chinese companies, and everyone is still expanding and producing more. We recall that five or six years ago, the DRC had a million tons, and now it is more than three million metric tons, and this amount has grown tremendously. So, one way in and one way out. It needs supplies to be brought in, so its transport capacity is very outdated, especially since its infrastructure framework was originally built by the Belgians and has not undergone any major changes. In this case, first, in terms of Chinese companies, we know that the Tanzanian Railway is very clearly going to be activated. This is something that the Chinese government has already made up its mind about. What are the things that everyone is trying to do right now? It is hoped that the Tanzanian railroad will reach the south-eastern part of the DRC. We want to connect from Kolwezi to Lubumbashi and then [Inaudible], that's where that Tanzanian railroad started. If this line can be pulled through, it will be a particularly good thing for the Chinese companies. Of course, we have also seen some Western companies, especially those supported by US, taking the western route to Angola. This is because only one section of the western railway remains unconnected, while the section in Angola is already complete and new. If this road can be connected, this will also ease the whole traffic situation. The other thing that you just mentioned, it could be that some companies in the northern route also want to try and go from the north, across [Inaudible] lake to Tanzania, and then exit from Tanzania, which of course is also an incredibly good corridor. But no matter how you build the corridor, it is a systematic project. In addition to pull the road through, in addition to ports and terminals, it is necessary to support the construction, this way the entire capacity will be improved. This work is not only done by CMOC Group, which involved in the activation of the Tanzanian Railway. The other ones, Kolwezi and Tanzanian Railway, CMOC Group will also actively participate in, which is conducive to the safeguarding of copper resources in China. This is beneficial to all Chinese investors.
Jianfeng Liu: Firstly, about the capital expenditure. First, this is a basic logic. You have mentioned, now the competition for mineral resources is very fierce. Now, CMOC Group has its own projects for capital expenditure, which in itself demonstrates the Company's resource base and strength. In terms of the amount, firstly, in the second half of the year, basically CNY3 billion to CNY4 billion of ongoing capital expenditure, which is a basic range. But there will be an X added, and our second half acquisitions are excluded from that. On the other hand, there is a medium- to long-term capital expenditure. Our existing ones, whether it's this expansion of the K-mine that you're concerned about, the further optimization of the T-mine, including the construction of the Ecuadorian gold mine, it's basically USD4 billion plus USD2 billion, roughly this range. But this is based on our time to get to the ground gradually, not all at once, and it's based on cycles. Regarding dividends, our commitment to the market is 40% of net profit, with annual dividends. One additional comment here is that the mining industry is a discounted industry and all of our capital expenditures, cash flows and dividends are primarily about cash flow management and whether we can control our costs. In terms of controlling costs, as we have just mentioned, both in terms of operating costs, which Mr. Que has just talked a lot about. There is also a planning cost for the project on top of this. The core competency of the USD4 billion plus USD2 billion expansion plan that we just mentioned lies in the ability of our management and operations teams to come up with a better planning program and make structural savings. The front end is acquisitions; can we acquire at a lower cost than the industry? The competitiveness after the absolute sum of the three costs is the basis for supporting our cash flow, for supporting our capital expenditures and for supporting our dividends over the long term.
Hui Xu: Finally, let us have Chairman Mr. Liu to make a concluding statement.
Jianfeng Liu: First, I would like to thank all analysts and investors for their support of the Company. The share price hit a new high today, which is a pressure and an incentive for the Company's management. Given the significant growth in the Company's performance in the first half of the year, we will continue to focus on three things in the second half of the year and beyond. Firstly, which is of great concern to all of you, is how to further develop our existing mine resources, further expand production, and realize the value, including the DRC, Ecuador, and the existing stock of assets in the mines in the China zone. Secondly, you are concerned about whether we can effectively access resources in today's more competitive non-ferrous metals and minerals industry to provide a greater resource base for the Company's longer-term growth. Thirdly, our management upgrade has just begun. Finally, our aim is to realize the creation of a platform-type enterprise, and to realize the development of CMOC Group from pure mine operation to a platform-type enterprise based on mine operation as a whole, including long-term resource development. Finally, we hope that investors will support us. Our management is confident in creating long-term value for you, our investors and shareholders.
Hui Xu: Today's performance meeting ends. Thank you to all investors for your continued interest in CMOC Group. If you have any questions in the future, please feel free to contact our AR team. [END]